Operator: Good day, and welcome to the Waldencast First Quarter 2025 Earnings Call. All participants will be in listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note that this event is being recorded. I will now hand you over to Allison Malkin, Partner ICR. You may proceed.
Allison Malkin: Thank you, and welcome to the Waldencast plc first quarter fiscal 2025 earnings call. Here with me today are Michel Brousset, Founder and Chief Executive Officer; and Manuel Manfredi, Chief Financial Officer. For today's call, Michel will begin with an update on our business and vision. Manuel will follow with a review of the first quarter and provide our fiscal 2025 outlook. Following this, Michel will share the strategic growth initiatives for our Milk Makeup and Obagi Medical brands. After the prepared remarks, the operator will open the call to take questions. Before we start, I would like to remind you that management will make certain statements today, which are forward-looking in nature, including statements regarding the outlook of Waldencast's business and other matters referenced in the company's earnings release that was issued yesterday. Each forward-looking statement is subject to risks and uncertainties that could cause actual results to differ materially from those projected in or implied by such statements. Additional information regarding these statements appears under the heading Cautionary Note regarding Forward-Looking Statements in the company's earnings release and in the company's filings that it makes with the Securities and Exchange Commission, which are available at www.sec.gov and on the Investor Relations section of the company's website at ir.waldencast.com and should be read in conjunction with the section entitled Risk Factors in the company's annual report for 2024 on Form 20-F filed with the Securities and Exchange Commission on March 30, 2025. The forward-looking statements on this call speak only as of the original date of this call and we undertake no obligation to update or revise any of these statements. Also during this call, management will discuss certain non-GAAP financial measures, which management believes can be useful in evaluating the company's performance. The presentation of non-GAAP measures should not be considered in isolation or as a substitute for results prepared in accordance with GAAP. You will find additional information regarding the definition of these non-GAAP financial measures and a reconciliation of this non-GAAP to the most directly comparable GAAP measures in the company's earnings release. With that, let me now turn the call over to Michel Brousset.
Michel Brousset: Thank you, Allison, and good morning, everyone. I am pleased to speak with you today and share our first quarter performance and outlook for the year. During the quarter, we made strong progress against our growth strategy, elevating our powerful brands, launching breakthrough innovation, expanding points of distribution and increasing community engagement and love while investing in support for our future. As anticipated, Q1 presented some challenges as we had to anniversary strong growth and launches from a year ago, a decelerating beauty market and a fluid macro and retail environment. We're encouraged, however, by the end of the quarter performance, which gives us confidence that our brands and businesses are poised to achieve our annual growth and profitability goals. As we have discussed in previous calls, it is important to highlight that while we have a strong focus on quarterly, monthly and even daily performance, we manage our business against our annual targets in order to maximize value creation. We're building a unique and strong platform for growth and profitability that creates, acquires, accelerates and scales the next generation of beauty and wellness brands. Our strategies are working very well. We're strengthening our brands, driving industry-leading innovation and expanding our brands footprints, so we can reach more and more consumers around the world. However, we're only at the beginning of our journey and much remains for us to do. One key area of operational focus in the coming quarters is to continue to strengthen our supply chain. We have achieved or are close to achieving our cost efficiency objectives, but we need to now work more on improving the need and flexibility of our supply chain to drive even greater reactivity given the increasing levels of demand for our brands and innovation. Today, we have two powerful brands that have garnered critical mass, while still having substantial runway for multiyear growth. With Milk Makeup and Obagi Medical we have a solid foundation in prestige and skin color. We have a core business in the US and a growing presence internationally. We're achieving strong growth in attractive channels including professional, specialty, retail and online and expect this momentum to continue as we drive awareness of both brands beyond our core communities, continue to introduce more blockbuster innovations and expand into other regions and categories. Our increasing success with both brands and the power of our unique pure-play beauty ecosystem an industry that requires a deep and expertise give us a distinctive competitive strength in attracting other brands and founders into our platform. Let me now turn the call over to Manuel to go over our financial results in more detail.
Manuel Manfredi: Thank you, Michel. It is a pleasure to be here today to discuss our first quarter performance and also the continued progress of our strategy. So let's begin with a review of our financial performance. For the first quarter, we have reported a net revenue of $65.4 million representing a decline of 4.1% from the first quarter of last year. Our adjusted gross profit margin remained strong 76.4%, an increase of 10 basis points year-over-year. Our adjusted EBITDA was $4.4 million or a margin of 6.7% which reflects our continuous focus on investment in sales drivers in support of our growth. Now let's look at each brand-specific performance. Starting with Milk Makeup, we saw revenue decline 15.1%. However, we saw solid domestic performance despite a broader slowdown in the prestige beauty category with Milk Makeup ending the quarter on a strong note fueled by the highly successful launch of Hydro Grip Gel Skin Tint which sold out quickly due to demand greatly exceeding sales forecast. We're also very pleased with the brand's launch into Ulta with sales beginning in late February. Both initiatives contributed to the brand's high single-digit growth in the US retail sales. Now this solid domestic performance was offset by the construction of international sales which faced a difficult comparison against last year Q1 distribution expansion as well as inventory adjustment by retail partners. Additionally, the international launch of skin tint occurred later than in the US resulting in minimal impact on our Q1 international performance. As I will share shortly we anticipate our growth drivers to accelerate strongly going forward. Adjusted gross profit margin of 69.5% represents a sequential increase of 460 basis points from Q4, but 180 basis points decrease from Q1 last year reflecting added setup costs from our launch into Ulta Beauty. Adjusted EBITDA totaled $4.4 million and the brand maintained a healthy adjusted EBITDA margin of 14.9% of net revenue. Moving to Obagi Medical. So we achieved net revenue of $36.2 million increasing 7.1% from the first quarter of 2024. This growth was tempered by out-of-stock issues in key SKUs. We're actively advancing our supply chain transformation including consolidation of our third-party logistics providers and the optimization of the distribution center network. These strategic changes are designed to enhance operational efficiency and support long-term scalable growth. Adjusted gross profit margin remained strong increasing 60 basis points to 82%. And adjusted EBITDA totaled $5.9 million or 16.3% of net revenue reflecting increased marketing investment and higher supply chain costs in support of our future growth. Now let me turn to a review of our revenue drivers for the quarter. The quarter saw us build significant positive momentum across both brands that we believe position us for accelerated growth going forward. Starting with Milk Makeup innovation continued to be a major driver. The launch of Hydro Grip Gel Skin Tint which was another standout success for the brand and in a more strategic complexion category than last year's Cooling Water Jelly Tints success one category that has high levels of repeat and loyalty and that help us drive our trust metrics on the brand. Digitally both Milk Makeup and Obagi Medical saw continued growth driven by our successful consumer acquisition and retention efforts. We were especially pleased with Obagi's performance which reflects the increasing desire for the brand as we have now fully lapped the transition to a first-party model with our primary e-commerce distributor. Milk Makeup also entered Ulta Beauty representing a major new US distribution for the brand. The launch saw high consumer demand with a strong initial sell-out and contributed to the delivery of the high single-digit growth in US retail sales in the quarter. We are very pleased with the strong partnership with the Ulta Beauty team. Now, despite these wins there were three main headwinds that impacted our results and we're actively addressing this one. First product availability. At Obagi Medical, our ongoing restructuring led to some supply chain disruptions causing lower fulfillment rates and out stocks on certain key products. We have accelerated our supply chain transformation to fix this, consolidating third-party logistics partners, redesigning our network and boosting our operational capabilities to drive better fulfillment, great reliability and long-term growth. Milk Makeup also experienced stockouts with demands for Hydro Grip Skin Gel Tint far outpacing expectations. We expect to be in a stronger inventory position by the end of Q2. Second, Milk Makeup's international performance faced a tough comparison to Q1 last year, when the brand launched in several international markets. In addition, the international launch of Skin Tint occurred later in the US and therefore, did not contribute meaningfully to the Q1 results. And third, as expected, we saw some adjustment in inventory levels at certain retail partners compared to Q1 last year. Overall, when we look at the fundamentals of our brands, we remain optimistic about the road ahead and expect our net revenue growth to accelerate going forward. Now our confidence is grounded on several key growth drivers. First, we continue to benefit from the introduction of breakthrough innovation, fueled by a robust pipeline of category-defining products that include both strengthening our core offerings and expanding into new categories. Second, the expansion of our digital channels. Here we're seeing a strong momentum supported by continued progress in acquiring and retaining high-value consumers that are incremental to our brands. Third, the continued growth in our retail footprint. Milk Makeup's launch at Ulta Beauty is off to a strong start, which is allowing us to reach incremental consumers to the brand. And finally, we expect to significantly improve product availability by the end of the second quarter. While these growth drivers give us confidence, we remain mindful of the broader macroeconomic environment. We are expecting some pressure from softer consumer sentiment and spending, particularly if tariffs and other factors continue to impact the broader macroeconomic environment. When it comes to tariffs, the majority of the impact for us falls within our cost of goods and we believe it is quite manageable. The good news is that over two-thirds of our cost of goods originate right here in the US. Thanks to the proactive work of our team over the past years, our exposure to China is now quite limited, representing only about 10% of our total cost of goods, mainly in packaging components. Taking this into account and assuming the current tariffs remain in place for the whole of 2025, including the latest news on China tariffs, we expect a low single-digit percent increase in cost of goods sold for fiscal 2025 and that is already reflected in our guidance. That said, we're actively working to mitigate the impact of tariffs through three key actions. First, we're optimizing our supply chain flows to further reduce our exposure to China. Second, we're preparing to implement selective pricing action likely in the low single-digit range where needed. And third, we are deepening our collaboration with supplier partners to unlock additional efficiencies. So now let's take a look at our balance sheet position. At the end of the first quarter, our cash position was $10.8 million and we had an additional $22.5 million available on our new revolving credit facility. Our net debt totaled $172.1 million compared to $154.2 million at the end of 2024. The increase coming primarily from the cost related to the refinancing of our debt that extended our maturity profile to March 2030. Cash consumption in Q1 reflects a low adjusted EBITDA and an increase in inventory levels in both brands to support expected sales growth in future quarters. Looking ahead to the full year, we expect a strong positive adjusted EBITDA to cash conversion supported by disciplined working capital management and low capital expenditures. In addition, we are very pleased to report a substantial reduction in our nonrecurring legal costs. Based on our current forecast, we expect this cost to continue declining versus prior year. We had little changes in our share count. And as of April 30, 2025, we had 123 million shares outstanding. Now, turning to our outlook. While we remain mindful of the broader macroeconomic environment and assuming no further material change to current tariffs, we continue to believe that the successful execution of our growth strategy along with ongoing enhancement to our internal capabilities, position us well to deliver on our full year guidance. We are targeting net revenue growth in the mid-teens and at an adjusted EBITDA margin in the mid to high-teens. The key drivers behind this expectation, as mentioned earlier, include the expansion of Milk Makeup across both brick-and-mortar and e-commerce channels in the US, the improvement in fulfillment rates at Obagi Medical as we complete our operational initiatives and the continued rollout of blockbuster innovation on both brands along with growing returns from ongoing marketing investments, which are driving brand awareness trial and long-term loyalty. And with that, now I will turn the call back over to Michel to take you through our brand accomplishments in more detail.
Michel Brousset: Thank you, Manuel. Now, let's look at our performance by brand starting with Milk Makeup. Our vision for Milk Makeup is to be the number one next-generation beauty brand. It is already a cold beauty brand among Gen Z, increasing Millennials and haloing to Gen Alpha. In recognition that the next generation see themselves and their values represented in the brands they use, our brand mantra to Live Your Look is a celebration of individuality and self-expression. It is not how consumers wear their makeup. It is what they do in it that matters. We have maintained a disciplined focus on three growth pillars. First, continue to launch market disrupting beauty innovation while expanding into high replenishment categories such as complexion. Second, expand our brand and community reach by broadening awareness through strategic brand partnerships, strengthening our core loyal Gen Z audience, and welcoming new audiences where our brand mantra, beauty point of view and products, resonate strongly such as Millennials and Gen X. And third, broaden our footprint by expanding the brand's presence online and offline both in the US and internationally. In March, Milk Makeup made its bold entrance into a large and highly competitive complexion category with the launch of Hydro Grip Gel Skin Tint. Building on the insight that most existing skin tints or tinted moisturizers don't last, thereby causing dissatisfaction with consumers, Milk Makeup launched the first gel skin tint that is longer for up to 12 hours. Rooted in the brand's cult favorite Hydro franchise, the product is strategically positioned to attract new consumers in a category known for strong loyalty and high repurchase rate, particularly among Millennials, a key incremental audience for the brand. This marks the first step in unlocking the complexion opportunity, the largest category in Prestige Makeup representing 47% of the face segment and a staple in consumers' makeup. It is a critical category to win and position the brand to the next level. Resonating strongly with our community and beauty enthusiasts, it has become a viral success story, generating already $18 million in earned media value and over 245 million impressions since its launch in March, resulting in a sold-out launch shortly after release with an average one unit sold per minute in Q1 and has already been recognized with the 2025 Cosmopolitan Holy Grail Beauty Award winner for the Best Skin Tint category and 2025 Well+Good Beauty Award for the Best Tinted moisturizer. Now broadening our brand and community, I am excited to announce that Milk Makeup has partnered with the iconic Nike brand. This is the first step in our partnership is the Nike Dark Tour in Los Angeles, bringing sport and self-expression together. The makeup partnership kicked off at Milk Studios in March, and continues through Race weekend in June, and there is much more to come. Also, our strong March launch in Ulta Beauty's top 600 productivity doors presents a compelling potential opportunity for future expansion, as Ulta's broader footprint includes over 1,400 stores nationwide and 500-plus Ulta Beauty at target locations, reaching an incremental consumer that we we're not previously capturing. We are very excited about the early results and we're already achieving top rankings in the primer and set blush and skin tint categories. Now, moving to the world of high-performance skin care with Obagi Medical. Our vision for Obagi Medical is to be the number one physician-dispensed dermatological brand in the world. Today, we are the leading US physician recommended brand for the top three skin concerns, pigmentation, fine lines, and wrinkles and sagging skin or loss of elasticity which together account for two-thirds of in-office skin care sales. We are now very proud to be the fastest-growing top 10 professional skin care brand in 2024, by a very long margin showing the potential and ability to still grow domestically as we expand internationally. We have maintained a disciplined focus on three strategic growth pillars. First, drive cutting-edge science-backed innovation that delivers transformative results supported by market-leading clinical data. Second, double down on our dermatological brand DNA re-anchoring in our medical heritage through a modern lens, with impactful clinical testing acceleration of open development and deeper physician partnerships. And lastly, growing brand awareness and expanding our footprint by increasing consumer recognition for Obagi Medical both domestically and internationally fueling our physician center ecosystem. Our two blockbuster innovations ELASTIderm Lift Up & Sculpt Facial Moisturizer and ELASTIderm Advanced filler concentrate compete in one of the top skin care segments within the physician channel, delivering visible clinically proven results. Both have earned significant editorial recognition with Lift Up & Sculpt facial moisturizer awarded Best Moisturizer for Fine Lines by New Beauty in 2025. In Q1, we also expanded the Suzan Obagi, MD collection with two new products including the super antioxidant serum and the moisture restore hydration replenishing cream. These clinically backed innovations are inspired by in-office patient needs identified by Dr. Suzan Obagi and designed to be incremental and complementary to existing portfolio. Looking ahead to Q2, we just launched the Retinol and PHA Refining Night Cream a super exciting advanced dual action formula, clinically proven to deliver smoother, more even looking skin in just four weeks. Designed for consumers with lower retinol tolerance, this high-performance gentle product offers an effective alternative. As an incremental addition to a nighttime routine, it attracts a new consumer, while expanding usage within our existing base. We showcased our dermatological brand DNA in two major physician center conferences the American Academy of Dermatology Annual Meeting in the US and the IMCAS World Congress in Paris. Today, these events welcome over 38,000 professional attendees, further strengthening our presence and leadership in the global medical aesthetic space, as we continue to see convergence of health beauty and aesthetics worldwide. Driving our dermatological brand DNA is growing all of our channels, including the digital world of obagi.com. This strategy has driven a 30% increase in homepage conversion following the implementation of updated brightening elements, whilst also broadening awareness directly with consumers with a Q1 year-over-year earned media value growth of 61%, building a flywheel to drive consumers to practices. To conclude, we're very pleased to share another quarter of strong progress towards our ambition. With a strong desirability for our brands globally and initiatives in place to accelerate our growth, we are confident in our ability to deliver our 2025 outlook and continue to drive sustainable profitable growth well into the future. Let me share why. First, we begin with the operational scale to manage a multi-brand platform with only two brands today, and more to come into the future. Second, we possess a highly talented team with an expertise in managing, global beauty brands at scale with significant growth opportunities in both geographic and category expansion. In addition, our portfolio is balanced in structurally attractive segments of the beauty category. And all of this is supported by an asset-light agile and efficient structure that unlocks speed at scale. And finally, management incentives are strongly aligned to drive long-term value creation. Now, that concludes our prepared remarks, and let me now turn the call over to the operator, to bring the question-and-answer portion of the call. Thank you.
Operator: Thank you. Ladies and gentlemen, we will now be conducting the question-and-answer session. [Operator Instructions] Thank you. Our first question comes from Aaron Grey of Alliance Global Partners. Please go ahead.
John Chapman: Good morning. This is John Chapman on for Aaron Grey. Thank you for the question. So, on Obagi, you referenced supply chain restructuring for Obagi in the PR. Could you expand upon that initiative and how you plan to improve operations? And does that also potentially allow for greater success from the innovation you alluded to, given streamlined operations?
Michel Brousset: Yeah, of course, I really appreciate the question. So I think we are, as I indicated in the prepared remarks, I think there is part of -- we're just at the beginning of setting up what we think is a very successful and into-the-future platform. An area we have to work on and really strengthen is the flexibility and responsiveness of our supply chain. I think we have, in the case of specific levels of value, dialed the cost of that supply chain quite well I mean, given the gross margins that we have. But the reliability and speed of the supply chain is not where we want it to be, meaning the lead times are quite long, it's relatively inflexible still, and does not allow us to respond to the increased levels of demand that we're generating through our marketing and selling activities. As a consequence, what we've done is we've streamlined the flow of goods going from two steps on our warehousing capability to one step -- which will make us more responsive, and integrating that also with our online warehousing capability at the same time. That transition is taking a little bit of time, and frankly, in Q1 generated a little bit of disruption as we moved inventory from one place to the next. Now, on a go-forward basis, what we believe is that will allow us to be, as you well pointed out, much more responsive in our ability to, when demand peaks, respond to that demand which, in Q1, in the specific case of Obagi, hurt us a bit. We were out of stock in three or four key items that dampened our growth.
Operator: Thank you. Our next question comes from Ashley Helgans of Jefferies. Please go ahead.
Q – Unidentified Analyst: Hi. This is Sydney on for Ashley. Just wondering, can you discuss a little more the slowdown you saw in the physician channel? Wondering if that's fewer visits to providers or maybe just seeing fewer basket add-ons to appointments? Thank you.
Michel Brousset: I don't believe we saw, per se, a slowdown in the physician channel. I think what is driving more of the slowdown on Obagi relative to prior years is more -- we don't have the tailwinds that we had on our Amazon business that we had last year. And Amazon last year -- you remember, we had a conversion of the model of Amazon into a new model. We still are generating quite a bit of growth in Amazon in the high 20 -- low 20s to high 20s on a monthly basis. But that is less than we were generating last year because we have the tailwind of this distributor conversion. So, that's the main reason that drives the slowdown on Obagi. I don't necessarily believe we are seeing a slowdown in demand or visits from physician channel. It's still we think the channel is robust. I think the channel is still substantial and we expect this to be a source of growth this year.
Q – Unidentified Analyst: Great. Thank you.
Operator: Our next question comes from Jonna Kim of TD Cowen. Please go ahead.
Jonna Kim: Thank you gentlemen for taking my question. Could you provide more color around the sell-through trend versus sell-in just on Obagi and Milk? And also would love to hear your perspectives on how you're thinking about pricing strategy given the tariff dynamics and where the category is would love any additional color there? Thank you very much.
Michel Brousset: Thank you, Jonna. Thanks for the question. I'll start with Milk, which is where we have the biggest swing between sell-out and sell-in. As we indicated in the call, our U.S. retail sales or sell-out was in the high single-digits was actually plus 9% with substantial acceleration month-over-month as we launched Skin Tint and Ulta came into line. So, we have quite a big difference between sell-in and sell-out that is mechanical in terms of how goods flow between Q4, Q1 what we have in the base and so on and so forth. We believe that the levels of inventory we have across our retail partners today, across the U.S. and Europe, are at a healthy level. And what we see is just simply a dynamic of timing of sell-in and sell-out and timing of initiatives. At a global level, where we're seeing a bit more pressure from a retail sales standpoint is in two areas. One is in the EU for Milk, not our international business, but specifically in the EU, where we're seeing more pressure both on the retail side as well as sell-in side as retailers our main retail partners transition inventory and so on and so forth. And in the U.S. in our MilkMakeup.com as well as our online business at Sephora kind of our digital channels where we had last year the Jelly's launch had a disproportionate level of volume in our digital channels. So, anniversarying that from a retail standpoint on Jelly's on digital channels in the U.S. was a bit more complicated. So, that is the dynamic on Milk between sell-in and sell-through. In the case of Obagi, there's no real differences between our sell-in and sell-through given that our model is fundamentally a physician dispense model in which we book our net sales once we sell the product to physicians on a sell-through basis. And in the case -- and the rest of our business a big chunk of our business are digital channels in which we -- there's no real substantial difference between sell-in and sell-through. In terms of price increases, we -- I mean we are monitoring tariffs like everybody else is. It's been -- as it's been for everybody with a bit of instability on what exactly the direction is. Even at the highest rates even if for some reason we went back to the extremely high rates that we saw at the beginning of the announcements on tariffs, we believe that that is quite manageable given our relatively low exposure to China. And in the rest, we can manage physical flows and financial flows in a way that is quite moderate. In the worst-case scenario if we did nothing, which obviously we're not going to not do anything, we can cover any large tariffs with a low to mid-single price increase which we are evaluating and monitoring depending on how tariff -- this whole tariff situation shapes up. So, we net, on a tariff standpoint, we don't think is at least material or non-manageable at least from what we understand at the moment.
Jonna Kim: Thank you very much.
Operator: Our next question comes from Susan Anderson of Canaccord. Please go ahead.
Unidentified Analyst: Hi, good morning. Alex [indiscernible] on for Susan. Question on Ulta. The displays look really nice. I guess, any early reads there? Are you bringing in a new customer base that may not have shopped the brand at Sephora or online? And then I think in your presentation you indicated door count increase. Are you getting more than the 600 doors at Ulta or maybe even hinting at a new retail partner for Milk?
Michel Brousset : Thank you for the question. We are very pleased with the early results at Ulta. I mean, we -- this launch was very carefully crafted with our Ulta partners to try to deliver against two important objectives. The first one is the incrementality to the brand. And as you know we are in only 600 doors at Ulta. And these 600 doors were selected with two objectives. One is incrementality as I said and the second one is productivity. So we're in highly incremental i.e. distance to other Sephora locations. Of course, this is not perfect. Not all of them are distant to Sephora locations, but for the most part incremental productivity incrementality on the business and then high productivity. As I said before in the case of Milk, we are having a very disciplined posture to our distribution expansion. One of the best ways to ruin and makeup brands to expand distribution too fast and ahead of brand awareness and brand trial and consumer pool. So we're being very disciplined in the way we consider distribution expansions. So we are today in those 600 doors. What we are highlighting and evaluating given the success is potential further expansion inside the Ulta network or perhaps even within Ulta at target, but this is just at this moment purely evaluating as we read the initial results of Ulta, which so far we're pleased with that outcome. We believe again it's quite incremental quite productive. So we'll continue to monitor.
Unidentified Analyst: Thanks. And then just a quick follow-up a clarification question on the tariff impact. So you said low single-digit increase in COGS. Is that before or after any potential action could be taken to minimize that? Thanks.
Michel Brousset : Yes, I'll get Manuel to answer that. Manuel, go ahead.
Manuel Manfredi: That impact will be with the latest news on the China tariffs the 30%. And in any case as we mentioned our exposure to China is relatively low. It's around 10% of our cost of goods. So even if these tariffs were to go back to the 145% the increase will still be not material for us.
Operator: Thank you. [Operator Instructions] Our next question comes from Olivia Tong of Raymond James. Please go ahead.
Unidentified Analyst: Good morning. This is Lillian [ph] on for Olivia. So I just wanted to ask about SG&A. Can we expect that as you grow sales that you can keep SG&A as a percentage of sales flattish? Or will it grow with sales? And just on that you also discussed increasing investments in marketing. Are you doing anything differently? And how are you thinking about allocating the additional spend? Thank you.
Michel Brousset : Yes. Thank you. So SG&A what we expect and this is something that we've indicated and is an important part of our model is that while we are going to grow SG&A in absolute value to build our business what we expect is a substantial operational leverage with G&A growing substantially behind sales. On our -- and there's two components to us to G&A, I'm going to talk specifically G&A not SG&A, G&A is we have one at the brand level and the second one at the central level. And we are at the central level we believe that the costs are going to be relatively flat year-over-year even though we are building more and more capability in central costs to cost savings in other areas of central costs. And we will continue to increase G&A to support particularly international expansion of our brands in -- at the brand level. But again with this growth coming substantially behind sales creating operational leverage. And I'm sorry you had a second question that I missed.
Unidentified Analyst: Yes. Just on increasing investments in marketing are you doing any -- yes.
Michel Brousset : Yes. No, of course. We will -- forgive me, we will obviously continue we said that's part of our model as we drive growth and operational and gross margin efficiency we expect to invest more and more in our brands both in terms of dollars and percent of sales. In the case -- in terms of doing things different, probably the places where you will see more difference on a go-forward basis in Milk. And Milk is now a brand that is reaching a certain level of critical mass in which, we need and we expect to invest more in top-of-funnel and top-of-funnel advertising to continue to reach more and more consumers and invite them into a Milk community. So we are evolving our model, from what it was very originally on Milk, a very organic model to what has been most recently a more user-generated social influencer model, and to that model in which all those things will be complemented with more top-of-funnel media that will be -- we're starting to deploy now and continue to deploy into the future. In the case of Obagi, we continue to increase our investment. And I think one fundamental shift that we made on Obagi, since we bought the brand, is that beyond what historically the brand have done, which is advertise to professionals to physicians and so on and so forth, we are now as you see reaching out to consumers outside of medical practices to have them discover Obagi and come to physician practices asking for Obagi, and we're seeing that as a big driver of our business both in practices as well as our digital channels. So there's still a lot of room for us to go, in terms of evolution of marketing and as the market changes and evolves. But our priority is and will always be, to continue to increase the investment into marketing and in our brands, which are ultimately the sources of long-term competitive advantage for the company.
Operator: Thank you, sir. Ladies and gentlemen, we have reached the end of the question-and-answer session. I will now hand you back to Michel for closing remarks. Thank you.
Michel Brousset: Well, thank you very much for everybody attending the call. We are -- as you may have gathered, Q1 was a quarter that had its challenges, anticipated challenges for the most part, but we remain very confident in our ability to deliver our full year outlook and we're more excited than ever about the prospects of our brand the strength of our brand the programs, we're having on both Milk and Obagi. So we are, I believe very well set up for creating long-term value creation for our shareholders. Thank you very much.
Operator: Thank you. Ladies and gentlemen, that concludes today's event. Thank you for attending and you may now disconnect your lines.